Operator: Good day, ladies and gentlemen. And welcome to the Q3 2021 Tabula Rasa HealthCare Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session.  As a reminder, this conference call is being recorded. I will now like to turn the conference over to your host, Mr. Kevin Dill, General Council. Sir, please proceed.
Kevin Dill: Thank you and good morning. I’m Kevin Dill, Corporate Counsel for Tabula Rasa HealthCare. The company intends to avail itself of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Certain statements made during this call will be forward-looking statements within the meaning of that law. These forward-looking statements are subject to risks, uncertainties, and other factors that could cause Tabula Rasa HealthCare’s actual results to differ materially from those expressed or implied by the forward-looking statements. These risks and uncertainties include the developing nature of the market for technology-enabled healthcare products and services, and potential changes to laws and regulations that may impact our clients. For additional information on the risks facing Tabula Rasa HealthCare, please refer to our filings with the SEC, including the Risk Factors section of our 10-K filed on February 26, 2021. A recording of this call is accessible through a link on the Investor Relations page of our website and it will be available for 90 days. I will turn the call over to Dr. Calvin Knowlton, CEO, Chairman and Founder of Tabula Rasa HealthCare.
Calvin Knowlton: Thank you, Kevin. I want to open the call with a summary of our third quarter results including the key theme, which is our organic revenue growth is improving. Three points, third quarter revenue grew 23% year-over-year to $86.6 million. This compares to 4% revenue growth last year and 6% revenue growth in the first half of 2021. This trajectory bodes well for us as we get close to 2022; second, third quarter organic revenue growth of 17% compares with 1% during the first half of 2021; third, MedWise Healthcare software subscription revenue of $11.8 million increased 16% year-over-year b and 17% on a sequential basis as compared to the second quarter of 2021. The focus in our Board meeting earlier this week on Monday and Tuesday was maximizing long-term value for our shareholders. In the near-term, we’re doing three things. First, organizational leadership changes to better align strategy, product and sales, and this will go into effect next week; second, evaluating options to unlike the -- unlock value in non-core assets; and third, exploring new strategic and transformational relationships. We will provide greater detail in the coming weeks and months as our strategy execution progressive. At this time, I will turn it over to Orsula to discuss our CareVention division, which houses five offerings in PACE, after which Kevin will discuss our MedWise division and then Brian will discuss the financials. Orsula?
Orsula Knowlton: Thank you. During the third quarter, our net census growth for the program of All-Inclusive Care for the Elderly remained at fully fund  levels in the range of 1% monthly sequential growth. The PACE population has benefited from the high level of vaccinations administered to seniors across the U.S., with the vaccination rates among those 65 and older at 84.5% as per October 21st present CDC. In short, we feel good about the future trajectory of PACE enrollment in our CareVention Healthcare business. As part of our normal annual reporting, we will provide detailed met -- PACE metrics in conjunction with our fourth quarter earnings call, but I wanted to highlight a few trends. First our average per member per month or PMPM revenue continued to grow at a healthy rate during the third quarter, up 4% versus the second quarter and up 9% versus the first quarter, as we benefit from a growing base of CareKinesis or pharmacy services and medication risk mitigation utilizing. In fact, the number of PACE participants served by CareKinesis is up 15% at the end of the third quarter versus a year ago. Second, PACE across our revenue recognized through the first nine months of 2021 is 12% higher versus the same period a year ago and exceeds the total revenue recognized for the full year of 2020. High growth new startups and expansion activity are encouraging with existing states, including Florida, Massachusetts, North Carolina, New York, Louisiana, Ohio and Maryland. Expanding PACE in new states include Washington, D.C., Kentucky and Illinois, and those looking to add PACE. Startup organizations are relying on the expertise of CareVention Healthcare, helping them enter the market with confidence. As of September 30, 2021, our PACE implementation backlog stands at 47 with 17 projected to go-live during the final quarter of 2021 and the remaining 30 scheduled for 2022 and 2023. During the third quarter of 2021, we completed for implementation, bringing the total as of September 30, 2021 to 19. We continue to be pleased with the growing support for PACE, which remains the gold standard for value-based care. In September, HHS published a report titled Comparing Outcomes for Dual Eligible Beneficiaries in Integrated Care, which concludes the PACE program stands out from our analysis as a consistently high performer. The report found that dual eligible beneficiaries in pace have better outcomes compared to regular Medicare Advantage enrollees and this study evaluated dual eligible beneficiaries enrolled in three mutually exclusive plan types, comparing them to PACE. I’d like to turn the call over to Kevin Boesen, our Chief Scientific Officer.
Kevin Boesen: Thank you, Orsula. And this is Kevin Boesen, Chief Sales Officer. Thanks, Orsula. Appreciate the promotion. As part of our effort to provide greater transparency into our financial model, I’ll start reporting on our actual bookings figures. Excluding sales related to COVID testing in 2020, overall CareVention Healthcare and MedWise Healthcare, Q3 bookings increased 87% compared to a year ago and total the record $15 million led by our MedWise segment. Notable third quarter deals included two blues organizations, self insured employer groups, several health plans serving Medicare and Medicaid, and an exciting partnership with eHealth. eHealth is one of the leading private online marketplaces for health insurance and a key driver in our Q3 record results. In August, we went live with our eHealth sponsored Medicare Plan Finder Solution, and this relationship has increased our retail pharmacy footprint by almost 1,000 new community pharmacy rooftops during the third quarter. This is the largest growth in new community pharmacy customers in a single quarter since the 2019 acquisition of PrescribeWellness. At the end of Q3, our retail pharmacy footprint is close to one out of every four rooftops across the country. Our PrescribeWellness network represents an incredibly valuable asset as pharmacists play a more integral role in overall medical care. Growth in our pharmacy network is an important part of our pair sales strategy, the larger our network, the more opportunity to enhance payer engagement for payers through the local pharmacist patient relationship. I’m also excited about our collaboration with McKesson Health Mart, which officially launched in October to 5,000 community pharmacies and will begin contributing meaningful revenue during the fourth quarter of 2021. Health Mart’s digital portfolio is a new solution powered by the PrescribeWellness platform and provides pharmacies with a suite of digital tools and services, including a consumer web portal, a mobile app with the goal of strengthening critical interactions between a pharmacist and patient. We also have a subscription-based premium offering with a number of important features and functions for 2022 and beyond. Turning to our year-to-date performance through the first nine months of 2021 our overall bookings across both the CareVention and MedWise Healthcare segments total $25.5 million, an 8% decline as compared to the same period in 2020. This bookings period -- figure is a good proxy for annual recurring revenue or ARR, as less than 2% of the $25 million represents one-time or non-recurring revenue. As of today, we estimate 54% or $13.7 million of our 2021 bookings year-to-date will be recognized as revenue in 2021. Our in year revenue target as part of our 2021 guidance was $21 million or 7 percentage points of growth. Given that we have less than two months of selling remaining in the current fiscal year and our ability to convert bookings into recognize revenue decreases every month as we get closer to December 31st, we will not be able to close the remaining $7 million gap. The lower sales and lower conversion rate of bookings to recognize revenue are key factors in our Q4 guidance. The shortfall is due to several factors, one, contract delays that pushed key wins to later Q4 starts; and two, short-term hiring challenges, which our peers have also commented on. The pandemic has elevated the role of retail pharmacies and created strong demand for pharmacists and pharmacy technicians. As we head into 2022, we are in a better position than we were a year ago. First, our sales team continued to expand during the third quarter, and as of September 30th, we are close to our target of 50 individuals across divisions, with the largest headcount supporting our community pharmacy and payer markets, the MedWise Healthcare segment. Second, we feel good about the overall sales pipeline and the level of late-stage activity as we head into 2022. Our payer pipeline has continued to grow as a direct result of the increased headcount and a key return of live trade shows in recent weeks, including Health, Assembleia , Academy of Managed Care Pharmacy and LeadingAge to name a few. In short, we remain confident in the long-term growth for MedWise in our payer division, leveraging the proven outcomes from our recent MedWise’s publications, as well as our proven results around star ratings. In early October, CMS released its 2022 star ratings and our clients continue to outperform. Among our existing Medicare Advantage clients, seven contracts improved from a three to a five or a four to a five star plan, bringing the total number of five star contracts to 38 were effectively one out of every four contracts we serve. This compares favorably to 16% of total Medicare Advantage contracts that attained a five star rating. I’ll now turn it over to Brian Adams.
Brian Adams: Thanks, Kevin. As Cal mentioned earlier, although we continue to see a healthy acceleration of our growth rate from the first half of the year, we’re not satisfied with the progress and we’re taking actions to further enhance our growth. Before commenting on guidance, I want to dig into our MedWise results. As expected, we saw the benefit of the large new contracts go-live during Q3, with the leading private online health insurance marketplace, which led to 16% software subscription revenue growth and 7% revenue growth for the MedWise Healthcare segment. Unfortunately, medication safety services fell short of our internal projections declining by 4%, with the primary factor being hiring challenges within our telepharmacy call centers, leading to a lower number of comprehensive medication reviews or CMRs being completed compared to our targets during the quarter. As of today, we are adequately staffed to deliver on our fourth quarter medication safety services revenue projections. And at the end of September, our call center headcount excluding interns was 19% higher as compared to June 30, with strong hiring in both August and September. It’s important to note that the one large client lost in 2021 and the reduced fees for our EMTM program this year accounted for 14% of revenue last year and this headwind offset strong growth from new clients in 2021, Clear Spring Health is one example, and continued gains at two major health plans where 2021 third quarter revenue more than tripled versus a year ago and now accounting for 18% of total medication safety services revenue in the quarter. Now turning to Q4 and the full year outlook, when we provided our initial 2021 guidance back in February, we highlighted five key assumptions bridging our actual 2020 results to our projected 2021 results. I want to revisit each of these and provide you with an update. First, our PACE census growth is tracking to plan. Our October 21 monthly sequential census growth for CareKinesis was in the range of 1% and enrollment is up 9% versus a year ago As a reference point, the latest PACE data from CMS showed October enrollment up 5% versus a year ago. So we continue to grow well above the overall market. Second, Personica is right on target contributing 5 percentage points of inorganic growth. Third, new client contracts were expected to add 3 percentage points of growth during 2021 and we are behind, primarily due to the delayed launch of McKesson Health Mart, which has now gone live as Kevin mentioned. Fourth, is new business, and as Kevin discussed, we’re behind our sales plan and the weaker revenue outlook for the fourth quarter and full gear is entirely related to the MedWise medication safety services line. Unfortunately, we’ve experienced contracting delays expanding a relationship with a material existing customer for a program that was expected to be implemented during the fourth quarter and that is a major factor leading to the weakness in our medication safety services revenue at the end of the year. Lastly, revenue attrition is as expected. The reduced revenue outlook is having a disproportionate impact on our adjusted EBITDA guidance given the ongoing investment in the business, albeit these investments are at a more measured level heading into 2022. Our fourth quarter 2021 revenue guidance reflects growth of 9% to 12%, all organic as compared to a year ago. We expect CareVention Healthcare to increase at a faster rate than the overall growth range of 9% to 12%, as we benefit from that growing PACE participant base. We expect MedWise Healthcare revenue to increase in the low-to-mid single-digit range, with continued strength in software subscriptions. Last, we plan to provide formal 2022 guidance in connection with our fourth quarter 2021 earnings release, but wanted to offer some preliminary thoughts for next year. For some history, I’ll remind you that in 2020, we experienced organic revenue growth of 3%. In 2021, we are projecting 7% and are exiting the year in the range of 9% to 12% for the fourth quarter. We expect organic revenue growth to continue to trend positively in 2022 and we feel comfortable we can generate 12% to 14% organic revenue growth in 2022, which includes 2 percentage points to 4 percentage points of growth from future unsigned contracts that we expects will be converted into revenue next year. If you exclude the revenue loss attributable to the planned end of the EMTM pilot program of 3%, our growth rate next year would be 15% to 17%. Regarding adjusted EBITDA, we are committed to driving margin expansion in the range of 100 basis points as compared to 2021. Current guidance reflects a range of 5.8% to 6.1%. With that, I’ll turn it back over to Cal for closing comments.
Calvin Knowlton: Thanks, Brian. To close, this management team and all of our team members are working incredibly hard to create value for our clients and our shareholders. The three initiatives that we launched, I mentioned earlier, the organizational leadership changes, the evaluation of options to unlock value of non-core assets and exploring of new strategic and transformational relationships, all bodes well for increasing performance and shareholder value, as you heard, our CareVention division is back on track for a wholesome 2022 and our MedWise division is headed in the right direction. Operator, would you kindly open the floor for Q&A, please?
Operator: Yes.  Your first question will come from the line of Ryan Daniels with William Blair. Please go ahead with your question.
Jared Haase: Yeah. Good morning. Thanks for taking the questions. This is Jared Haase in for Ryan. So I, certainly, one of the themes here for the quarter is that, the hiring challenges and the way that that is sort of impacted the results in Q3. So, I just wanted to kind of stick on that theme for a minute. I mean, I guess, my question is, can you sort of talk about what specifically the hiring challenges were, was it sort of just falling short of some of your hiring goals? Did you see an increase in sort of attrition or have retention issues in the call centers? I’m just sort of curious, what gives you comfort that at this point, those issues are kind of alleviated as we go into Q4 and then into FY 2022?
Calvin Knowlton: Yeah. This is Cal. We had a number of different issues with hiring, but -- as many people did, but the one thing that really hurt us was, we usually have a few 100 student pharmacists working with us from the different schools of pharmacy. And I think because they’re not in class, but they’re remote, really cut down and less than half of what we normally have get every year signed up, we were well under 150. We do have a new initiative that we launched then to over the new liaison, full time liaison to the schools and colleges of pharmacy in the country that we work with to try and bolster that. So, that was a big hit on the MedWise side for us.
Brian Adams: Yeah. I just add on to that, Jared, under Kelli Kovak’s new leadership, we’ve adjusted our staffing model and are going to continue to evolve that going into 2022, with more full-time individuals. And so I -- you can see just based on the headcount change from the end of the second quarter to the end of the third quarter that we’ve made progress against that. We feel like we’re very well positioned to adapt to satisfy any of the future contracts. But, as Cal described, the students and recruiting those which happens typically twice a year and there’s heavy churn there was challenging this past quarter. And so we’ve made some adjustments to the model and so we’re excited to continue to promote that.
Jared Haase: Got it. Thanks for that color. And then, I guess, just maybe a quick follow-up. So in terms of some of the sort of contract delays or the timing issues with closing contracts that’s impacted the all, I think that’s been a theme that’s cropped up maybe a couple of times of late. So I guess, I’m just sort of curious, what specifically with this renewal, what specifically delayed that. Is it -- is any of it related to COVID, where it’s just harder to kind of get people’s attention on certain projects or maybe harder to travel, things like that. Maybe just sort of curious to what extent this might be an issue, yeah, that crops up in the future?
Kevin Boesen: Yeah. Thanks. Appreciate that question. This is Kevin Boesen. I’ll take that. The contract issues and where we were confident in being able to close these earlier, do closer starts are in existing contracts where we’re looking to add more simple amendments. But what we found is that even simple amendments are difficult. And one of our largest customers is a retail community pharmacy that really struggled with bandwidth with COVID testing, the employer mandates for COVID vaccines and we just found that we were definitely over optimistic in our ability to get some of the share time for legal teams to get things done as quick as we thought we could get them done.
Jared Haase: Okay. Thanks for that. And I’ll hop back in the queue.
Operator: Your next question will come from the line of Sean Dodge with RBC Capital Markets. Please go ahead with your question.
Sean Dodge: Yeah. Thanks. Good morning. I wanted to go back to the comment Cal you made at the beginning of the call and the strategic focus is for 2022. One of the things you mentioned was evaluating options for non-core assets. I guess, can you just give us a little bit more detail there, maybe some sense of what you consider to be non-core right now? And then you also mentioned some leadership changes comment, I was wondering if anything more you could share on that as well?
Calvin Knowlton: Yeah. There is not -- well, to be very honest, like, I can’t really share the non-core assets yet, because we have employees that they’re -- they don’t know about what we’re doing. So I don’t want to -- I don’t think I can do anything on that right now. But you will hear about that shortly. The -- on the leadership changes, we’ve added Kelli. She’s been here 90 days, very experienced on MedWise and we’re going to make a couple other leadership changes there to help us bolster our MedWise team. And you’ll hear about that next week actually.
Orsula Knowlton: On Kelli Kovak.
Calvin Knowlton: Yeah, I am sorry, Kelli Kovak, but we brought her in. She’s been here almost 90 days, but we’re going to make one more fairly substantial see very senior leadership change.
Brian Adams: And Sean, I just echo Cal’s comments on Kelli. I mean, she’s been here for 90 days that has some really exciting observations related to the business and changes that she wants to implement that I think are going to be really meaningful going into next year. So, very pleased to have her on Board.
Sean Dodge: Is there -- so I guess I appreciate not naming non-core assets specifically. So anything where you can give on kind of what evaluating options means, are these units that you’re looking at like vaccine or shutting down or doing something else with?
Calvin Knowlton: Sean, listen, I don’t think we could share more at this point.
Sean Dodge: Okay. Fair enough. Then -- okay. Maybe then, I guess, the third leg of the stool, you mentioned was, looking at maybe potential partnerships actually. Is there any examples or some ideas you can give us of what you’re thinking there?
Brian Adams: I think what I would say on that front, Sean, at this point is, we’ve been looking at a couple partnerships that would really put us in a position to align our growth strategy with some other businesses that are in certain markets that we’re targeting. And you -- hopefully we’ll be able to hear about those in the coming months. But they’ve been underway for some time now.
Calvin Knowlton: We just expand…
Sean Dodge: Okay.
Calvin Knowlton: Yeah. We expand them but. Yeah, I’m sorry, we can’t get weeds on that too much at this point.
Sean Dodge: All right. I understand. Thanks, again.
Calvin Knowlton: Thank you, Sean.
Operator: Your next question will come from the line of Sean Wieland with Piper Sandler. Please go ahead with your question.
Sean Wieland: Hi. Thanks very much. Good morning. So going back to the guidance that you gave in February, my notes say that guidance is conservative, we need to do about $20 million in new business to hit, compare and contrast the $20 million you needed to hit your guidance in February to the $20 million cut that you made today?
Calvin Knowlton: Yeah. Sean, so a big piece of it is, the new contract that we had hoped to win. But not hope to win, but it’s currently in contracting with an existing customer. That is a material piece of the adjustment, as Kevin referenced, and I think, I did as well. We did have some delays implementing contracts that were secured last year, specifically the Health Mart contracts that was delayed until really the fourth quarter and that had a meaningful impact this year. We did have some delays with a couple of the contracts that did not come online as we had hoped, most of that happening in the second half of the year. And then, we had a couple million dollar miss in Q3 related to some of those hiring challenges. So a lot of this is back end waited. And the most material is this contract with a very large chain pharmacy that we have an existing relationship with, that was looking to expand clinical programs. And we have that contract underway but it has not been executed yet and so that’s the most meaningful piece heading into the year.
Sean Wieland: So the -- this contract that the expansion is delayed, first, can you quantify the impact of that, and second, was that contract expansion in part of the $20 million of revenue that you needed to win or was that part of the what you thought you had visibility into?
Calvin Knowlton: No. That was in the $20 million that we needed to win and it was a pretty meaningful piece of that. I think that’s what I could say at this point. I don’t know Kevin, if you would expand on that at all.
Kevin Boesen: Yeah. I -- it is meaningful. It is something that we anticipated that was part of what we wasn’t new win, something that we expected would have launched sooner. But I think what we’ve learned over the course of this year is that, while we’ve been able to shorten many aspects of the sales cycle by some of the folks that we’ve brought in. The back end aspects of the sale cycle continue to be a challenge and we need to be much more conservative in terms of some of those timelines.
Sean Wieland: So it just looks like comparing the original guidance to where we are today, it looks -- like you didn’t win any business throughout the year and that just -- I just don’t see how that, is that right?
Kevin Boesen: No. We had -- as we reported from a transparency standpoint is, we do have $25 million in new business wins and almost $14 million of that contributed at 2014 -- our 2021 revenue. So there are some of the other factors of that Brian mentioned relative to staffing challenges that we faced in Q3 that caused us to miss a little bit and then the slowness of the Health Mart launch, which we’re very excited that it launched, but it was much later in the year than we anticipated.
Sean Wieland: Okay. Thanks very much.
Orsula Knowlton: Thank you, Sean.
Operator: Your next question will come from the line of Stephanie Davis with SVB Leerink. Please go ahead with your question.
Stephanie Davis: Hey, team. Thank you for taking my question. I do appreciate it takes a lot to own some of the shortfalls and take a hard look at the business. So happy you’re doing that. So I’ve got two questions, one of them very broad strokes of financials and one of them pretty granular. First up, Brian, just in light of how the year has progressed, how do you think your guidance philosophy has changed and how are you approaching guidance on a go-forward basis, maybe looking even beyond 2022?
Brian Adams: Yeah. Thanks, Stephanie, for the question. Because I think that this is important to address. This -- coming into this year, I think, we clearly were aggressive with our target and while we’ve been in the process of building out the sales team. As Kevin mentioned, the sales cycles continued to be a lot longer than were originally assumed in our guidance and so going into next year, it’s probably noted. We’re looking at a contribution of really 2% to 4%, of topline contributed from new contracts versus we were -- and that’s equivalent of $6 million to $12 million versus the $20 million plus that we were focused on this year. So coming off of a bigger base, we’ve got a much lower target in order to get to the numbers that we’re forecasting. As Kyle mentioned, we’ve got fantastic growth across the majority of the business and there’s one area that we’re working to correct that growth rate. And so, we want to take a more conservative approach to our expectations related to new sales. At this point, we’re going to continue to update you as we make progress against those targets. But we’ve got a significant reduction in that assumption for next year and I think that’s going to continue to be our philosophy going forward.
Calvin Knowlton: And I think the philosophy…
Stephanie Davis: How much time…
Calvin Knowlton: … philosophy of the Board -- the philosophy of the Board has changed on this matter. So I think we’re pretty coherent now throughout the company and the Board that how we’re going to forecast, and as Brian said, it was a little -- we were a little aggressive, but we dialed that back.
Stephanie Davis: Good to hear. Now on a very granular question as the complete opposite of philosophy, how should we think about your debt covenants and cash flow needs in light of past few quarters?
Brian Adams: Great question. We’ve been getting this from a few investors. To be honest, from a covenant perspective, no concerns on that front based on current business performance and what we forecasted. What I will note for you, Stephanie, is that, we have been taking actions even during this year to improve the cash burn and I’ll give you an exam -- and it’s a lower our operating expenses and I’ll give you an example, we recently outsourced a significant portion of our IT infrastructure to Accenture. That is  still saving for 2022. It -- the transition is happening right now. But that is an action we did take earlier this year. And we expect to continue to evaluate all areas of our operating expenses to see, where we can do things more efficiently. And even thinking about our footprint from a rent perspective, there are areas where we’re really looking across the Board to drive that down. And also as Cal mentioned, we are exploring ways to unlock value in non-core assets that I think could meaningfully contribute to our cash position in the coming months. So I think that’s the way I’d comment for at this point.
Stephanie Davis: Given all these moving pieces in the near-term, is there a time where you would recommend we start really taking a temperature check for when you guys should be wrapping all these changes up?
Brian Adams: So I would say, you’re going to continue to hear from us on progress over the next three months or so as it relates to a lot of this activity.
Stephanie Davis: Helpful. Thank you, guys.
Calvin Knowlton: Thank you.
Orsula Knowlton: Thanks, Stephanie.
Brian Adams: Thank you.
Operator: Your next question comes from the line of David Grossman with Stifel. Please go ahead with your question.
David Grossman: Good morning. Thank you. I’m wondering if we could just go back to the 2022 guidance or preliminary guidance. And perhaps, you could just help us better understand how much visibility you have today based on the 2021 bookings and things that you plan on starting up in the fourth quarter so that we can get a better sense of on that guide of 12% to 14%, just how much disability we have today providing some caveats for risks around hiring any other items that are important?
Brian Adams: Yeah. So that’s a good question, David. And so we’re sitting here today with about 10% that we’ve got very clear visibility into for next year. And then, factoring another 2% to 4% related to new sales. And so there’s a lot of activity in the pipeline right now, and as Kevin mentioned, we’ve got some deals that are late stage that we would expect to convert for that 2% to 4% of incremental revenue for next year.
Kevin Boesen: So we get 80%...
Brian Adams: Yeah. Yeah. So we’re -- it’s -- that -- yeah, so over 80% of that number is currently accounted for.
David Grossman: Got it. Okay. And how much of that 80% is or maybe asked differently, how much of the 20% is MedWise or medication safety specifically, I guess?
Brian Adams: So, it’s a mix, maybe I’ll refer to Kevin in terms of, the pipeline and how you spread the wins that we have projected for next year.
Kevin Boesen: Yeah. Thanks, Brian. The majority of the headcount that we have in place is on that MedWise division side. So it’s the community pharmacy growth, as well as the payer growth. So I would say, what we expect in new sales continues to be on that MedWise side. On the PACE side of the business, there are, as Orsula has mentioned, we do have a really strong pipeline there. We continue to grow in that business, it -- in terms of the wins there, there’s a mix between some of the new startups that give us gradual growth along with transitioning some of the larger PACE programs to our CareKinesis pharmacy, which drives some of the larger wins. We are a really conservative on some of those large PACE wins as far as forecasting and really putting our energy into the MedWise division. So that’s how I would balance it as I would expect to see much more growth in wins on the payer side of the business.
David Grossman: Yeah. Kevin, maybe I could just rephrase that, I didn’t do a very good job the first time is that of the 20% that you don’t have visibility on for 2022, how much of that are you expecting to come from medication safety?
Kevin Boesen: I mean, I would say, in terms of what we’re shooting for the probably north of 50% of that, so maybe in the 75 percentile, so it’s really our focus is to continue that payer growth.
David Grossman: Okay. And just you -- Brian, you gave a separate metrics for 2022, I am sorry. Can you just repeat them? I think I got the 12% to 14% growth with 3% headwind from EMTM. But I think you gave a couple of other metrics for 2022 and I’m hoping you can just repeat those really quickly?
Brian Adams: Sure. No problem. So just as kind of a little bit of history, as I was mentioning before, just organic revenue growth in 2020 was 3%. We’re projecting 7% this year exiting at 9% to 12% for the fourth quarter. And so, as you mentioned, 12% to 14% organic growth for 2022, which includes 2 points to 4 points of growth from future unsigned contracts. So that’s the piece that we were just discussing that Kevin was giving you the breakdown on. The EMTM pilot program contributed 3% to revenue this year and so that’s a headwind going into next year and if you excluded that, it would be 15% to 17% growth. And then on adjusted EBITDA, we are expecting to drive at least 100 basis points of expansion, which the current guidance is 5.8T to 6.1%.
David Grossman: Got it. And then just one last question, you mentioned, Kelli Kovak’s name a couple times and at some of the changes that she is in a very short period of time been able to identify. Perhaps you can just highlight the most important things that she has done and the potential impact those may have?
Brian Adams: Hey, David. I think I want to just clarify a point, because I’m not sure that we’re all speaking the same language here. Just in terms of what is -- what we have visibility into for next year, right? So, I think, we’re saying it’s very small, it’s over 95% in terms of total revenue that we have visibility into and I’m not sure if we were discussing earlier, just to go get, but I want to make sure that we’re clear that, our overall target for next year where we still need to sign some business is, it’s 2% to 3% of total revenue. So we’ve got visibility into north of 95% sitting here today.
David Grossman: All right. Great. Thank you for that.
Brian Adams: Okay. Sorry, just -- I wanted to make sure that we’re all clear on that point.
David Grossman: And just the second question was really around Kelli Kovak, I think you’ve mentioned her name several times and some of the changes she’s making. I was wondering if you could just kind of highlight the most important ones and the impact that may have on the business.
Brian Adams: Yeah. I would say, there’s -- there are couple areas of focus for her right now. One is on, obviously, the staffing model and making sure that we’ve got a scalable solution and she is made and implemented some changes already as we were talking about. The second is really a full review of kind of contractual relationships and focusing on existing customers to make sure that we’re meeting all of their expectations. And the third is really on growth and making sure that we’ve got models that are being well received by customers. And Cal, would you add anything to that?
Calvin Knowlton: Well, I think, she’s pushing big time on enhancing the relationship partners we have with current clients. She felt that…
Orsula Knowlton: Account management.
Calvin Knowlton: Account management, yeah, I’m sorry. Yeah. She thought that we were under the norm there and so she’s already boosted that to start with anyway. But that was an important observation. We had a meeting with her 30 days, 60 days to 90 days after and the Board did too this week, just to get an opinion from what she sees on that division and she was very insightful and she’s working on it. I think it’s going to make a big difference.
David Grossman: Okay. Great. Thanks very much. Good luck.
Orsula Knowlton: Thank you.
Calvin Knowlton: Okay. Thanks, David
Brian Adams: Thank you.
Operator: I am sure no further questions at this time. I would now like to turn the conference back over to our host for today. Do you have any closing remarks?
Calvin Knowlton: No. But thank you very much. Thank you for everyone who attended.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for your participation and have a wonderful day. You may all disconnect.